Operator: Good day, everyone, welcome to the Gray Television’s Fourth Quarter 2010 and Year-to-Date Earnings Release Conference Call. [Operator Instructions] For opening remarks and introductions, I'd like to turn the call over to Mr. Hilton Howell, CEO and Vice Chairman of Gray Television Inc. Please go ahead, sir.
Hilton Howell: Thank you very much, operator, and good morning, everyone. Thank you for joining us to review Gray's 2010 Fourth Quarter and Year-to-Date Results. Quite simply, it was a blowout quarter; a quarter for the record books. Revenues for the fourth quarter increased 48% to a new record for Gray of $114.6 million. Revenues for the year grew by 28%, also a new record for Gray of $346.5 million. These increases in revenue, coupled with excellent expense control, resulted in net income of $21.9 million for the quarter or $0.35 per share and net income of $23.2 million for the year or $0.16 per share. These outstanding results allowed us to pay down $50.2 million of our debt by year-end. Obviously, this political season was very good for Gray Television because we hit an all-time record in political advertising, even eclipsing prior presidential election cycles of $57.6 million. We believe that these results portend extremely well for Gray in the next political cycle of 2012. It is widely reported that President Obama will likely raise and spend over $1 billion on his re-election campaign. And with the Republican victories of 2010, we anticipate that whoever the Republican challenger may be, he or she will be able to match the President's fund-raising prowess. Additionally, we're already seeing important senatorial campaigns gearing up in several of our key states, all of which we believe sets Gray up for another record year in 2012. So that leaves us 2011. In this morning's press release, Jim Ryan has provided our best effort at indicating where we see next quarter coming out, and we may have some more thoughts on that later in his comments. From my point of view, I see 2011 as a typically off year in the broadcast cycle, but a relatively favorable one. Our regional vice presidents and station managers, while still loaded to stick their necks out too far in predicting their performance, are relatively bullish on the advertising outlook for 2011, especially with regard to the local advertising market. Something else that is very positive for Gray. As a consequence of our highly successful 2010, we had been able to advance our local high-definition transitions, and it has also allowed us to reinvest more in our local news brands. Of note, KOLN, our CBS affiliate in Lincoln, Nebraska, has added a 4:00 p.m. public affairs show with simultaneous live online chat with local newsmakers, and it has launched a half-hour high school sports show at 6:30 p.m. on Thursdays. Additionally, KOLN has added a 9:00 p.m. newscast on our digital set channel to serve Grand Island, Nebraska. This has paid or paid off well for KOLN, as it has won more first-place awards from the Associated Press than any other station in the states of Nebraska, South Dakota or North Dakota combined. Additionally, KAKE, our ABC affiliate in Wichita, Kansas, launched on January 31 of this year, the market's very first Monday-through-Friday 4:30 a.m. newscast, an expanded edition of Good Morning Kansas, the number one morning show in Wichita. Th continued investments in our already powerful local news brands, we believe will position our TV group well to repeat the kind of quarter and year we have just reported in the future. Bob, do you have some comments? Bob?
Robert Prather: I know everyone read our news release. We're very happy with the year. I think it's a tribute to our management, our GMs and our people out in the field and also a tribute to our group of stations, which I think came through the recession better than most of the markets around the country. And I think our strategy of having the major university town and state capitals in our markets has definitely paid off for us, but we're very happy that TV bounced back, and I think a lot stronger than Wall Street thought and frankly, probably than most of us thought. I think 2009 was a dreadful year for everybody and 2010, we're very happy to have an all-time record. But '11's here and 2010's in the past, so we got to look forward. Some of the things that we're working very hard on Hilton had mention briefly, but local HD, I think is extremely important. We'll have most of our stations capable of doing local HD news by the end of the year. We're also, at the same time, putting in studio automation in most of these deals, which will enable us to be much more efficient in operating our master control in our studios. We think we're ahead in the industry in this aspect and very proud of our operations that we've got up and going so far. But local HD is extremely important. HD is really taking over the TV world. It's a better product, as I mentioned, after several years for the viewers and for the advertisers, and people are realizing it, and they don't want to go back to the old days of standard definition. So we've got to be there in our number one news stations and all our stations producing local HD news. The other area we've really gotten straight on is new media. We've got a bunch of sales initiatives going on with our Internet websites, with our texting and with our mobile. Mobile, I think, as you all know, is really coming on faster every day around the world. I think the smartphones, the iPhones, the Androids, the new Motorola phones that are coming out, mobile is going to be the real key to the future for all communication, I think, and we've got to be there. We're still testing at Omaha, live mobile is working great there. Technically, there's still some issues with the mobile coalition and with the Pearl Group on how this is going to actually come to market, but I think it will get done and we'll be in the forefront once it does get done. We've paid down $50 million of our debt last year, which I'm very proud of. We want to continue to hold expenses in line this year like we've done in the past. I think 2011 is actually going to be better than we originally thought it was going to be, mainly because I think auto continues to be strong. There was a big article in New York Times yesterday talking about how much better credit's gotten for auto buyers, and I think this is the key. People want to buy new cars if they can get the right kind of financing, and I think it's gradually coming back stronger all over, and I think this will bode well for auto to continue to grow this year, which, like I said, most of you know, traditionally, auto is around 25% of our revenue. It got down as low as 16%, I think, in 2009, but it's bounced back now, and we look forward to auto continuing being a strong leader in our advertising results. Here again, I think one of the main emphasis that we're going to work on this year is being more efficient, more automated, better ways to run our stations. Cover the news, but cover it in a much more efficient manner, which we want to continue to do because, let's face it, our competition out there now is an iPhone. A guy walking down the street and then five seconds later, it's on the Internet and it's news around the world. And we've got to be nimble and flexible and be willing to meet the marketplace and what the marketplace wants. So we want to continue to embrace social media, which we're doing in most all of our stations now. We have Facebook and Twitter available for our anchors and news people. I think this is going to continue to grow in the future. I just read an article about a 21-year-old woman who's got a website called myYearbook that's just absolutely growing like crazy and thinks it'll rival Facebook someday. It may, but that's what -- those are competition for us out there, and we've got to be aware of them and be cognizant of the fact that it's important for us to make sure we embrace all these forms of communication with our audience. At this point, I'd like to turn it over to CFO Jim Ryan, and he'll go through some more of the actual numbers, and we'll open up for questions. Jim?
James Ryan: Thanks, Bob. Good morning, everybody. I'm going to keep my comments relatively brief. I think the results for the quarter and for the year were laid out pretty well in the release with quite a little bit of detail. And certainly, Hilton and Bob had both commented already on the very, very strong record-breaking results, and we're very pleased with it. Focusing a little bit on some balance sheet items that would not necessarily have been in the release. First of all, the first lien leverage ratio under the senior credit facility was at 4.46 at the end of the year with a covenant of 7x, so there's ample of room there. If you calculated on a trailing 12 -- and it's calculated on a trailing eight-quarter basis. If you calculate the total debt net of cash on a trailing 12-month basis, the leverage ratio for all of that would be about 6.1x. The Series D Preferred Stock balance with the accumulated dividend at the end of the year was $53.4 million. CapEx for the entire year was $19.4 million, $8.9 million in the fourth quarter, and that's reflective of the acceleration of the HD build-out that Bob had mentioned on the local level. We currently have four markets that are completely done. We have nine additional markets where we have HD studio news capability, and we're completing the rest of those as quickly as we can. So we already have 13 markets up from a news studio basis. We have four more that are in process now and another four that are queuing up. So again, as Bob said, our hope would be that we have most of our stations completed on a local HD news basis by the end of 2011. Cash taxes for the quarter, we have actually a refund of $430,000. So on a net basis for the year, we actually had less than $100,000 cash taxes and the refund in the fourth quarter was actually a little bit of federal AMT. At this point, Bob, I'll turn it back to you.
Robert Prather: Thanks, Jim. Operator, at this time, we'd like to open up the calls for anybody on the line.
Operator: [Operator Instructions] We'll go first to Bishop Cheen with Wells Fargo Securities.
Bishop Cheen: Bob, you have long been a believer in build and improve and they will come. Can you give us your thoughts or color across the tech investments that you're doing, the efficiencies that you were looking for? And please quantify as much as you can in terms of margin and overall expenses.
Robert Prather: Bishop, I'll give you a great example. Omaha has kind of been our station that we really use as our test case, probably, and we feel that we've got a most efficient operation there. But there, for example, our master control in our studio operation, we, through automation and through really some creative design by our key technology officer, Jim Ocon, we've reduced our staffing there from 17 to four and a half, for example. Running all our master control for a major NBC. That's the number one news leader in that market. So we're trying to -- in some places, we don't have that many to get rid of, but Omaha is one of our biggest, strongest markets. But we're looking for those kind of efficiencies throughout our automation process, and we're doing it at the same time that we're putting in local HD, so we're really getting a double whammy with our audience. The audience is getting local HD, and we're -- and actually, it's not only more efficient, but it's a better product. The automated stuff actually doesn't make as many mistakes as human beings do. And as you probably know, you have a big turnover in the master control production areas  anyway a lot of times in TV stations, so this eliminates some of the learning curve and some of the problems you have with new people who aren't totally familiar with the operations. So this is an area that we want to continue to work on this year throughout all our company, and we're very, very proud of it.
Bishop Cheen: And most of the upside, do you think you'll start seeing a majority of the upside in 2012 if you were on track to...
Robert Prather: I would think so, yes. I think most of it you'll start seeing in '12, right.
Operator: We'll go next to Marci Ryvicker from Wells Fargo.
Marci Ryvicker: Two questions I have that could impact 2011. What's your view if there is an NFL lockout, which we'll hear on Friday, number one? And secondly, what is the impact on your expenses and revenue, actually, with Oprah going to Discovery?
Robert Prather: That's two good questions. One, if the lockout happens, I think it will get settled before the season starts, but let's assume that it didn't. Frankly, Marci, NFL is a very important product for all the networks and for us, but for example, a lot of the towns we're in where there's not an NFL city, NFL is not as important as it is in major cities, where there's a team in the town. I'll give an example. Next to Kentucky, we've got a strong CBS. When CBS lost NFL years ago, Lexington actually made more money showing old movies during that time on Sunday afternoons than they did NFL football. And don't get me wrong, I think it's a great product. I think our stations need it. I don't want to get rid of it, but I think it has very little financial impact on us in the short run. I can't imagine any scenario where the Union League would miss any games or miss more than one or two if there was a lockout. There's just too much money involved. They're all making too much money. It's not a situation like basketball, where you've got combined losses of $400 million for the NBA teams. Virtually all of the NFL teams are profitable because of TV contract and because of the profitability of NFL football. The second question was about Oprah. I think we're going to wind up saving about $4 million a year when Oprah goes away. We think we've got good product in place in all the markets to replace Oprah. The revenue may not be as high obviously, but I think the expense cut will actually come out ahead.
Marci Ryvicker: Okay. And one last question. How much of your auto dollars have you recovered since the recession?
Robert Prather: Jim can probably answer that better than I can. Jim, do you have a number on that on how close we are?
James Ryan: Yes, Marci. Auto dollars in '10 ended up -- and remember, '10, with the political, there was some pretty heavy displacement in auto in Q4, but we were almost $59 million gross. 2008 full year, and again, a heavy political, but not quite as heavy, but auto was at about $66.5 million gross. So we've come back -- and the low point with $46.5 million in '09, as you know, so we've come back quite a ways, but there is definitely a ways to go to get back to pre-recession levels.
Operator: [Operator Instructions] And we'll go next to Aaron Watts from Deutsche Bank.
Aaron Watts: A couple real quick for Jim maybe. On 2011 cash taxes, you think it's going to be pretty similar to last year?
James Ryan: $600,000 net outflow maybe, not anything significant at all.
Aaron Watts: How long do you have that shield for?
James Ryan: A long time. Our federal NOLs are $270-some million. If you give me a second, I can give you the exact number, but -- so we've got a long ways to go.
Aaron Watts: And then can you just refresh us on sort of starting now how much flexibility you have to deal with that expensive preferred stock you have picking away in your structure?
James Ryan: Let me answer that in two parts. First of all, under the senior credit facility, we have the ability of a $10 million annual basket to do RP with that's tied to a leverage ratio that we would be inside of. So from a senior credit perspective, we basically have $10 million a year to work with. The second lien note indenture has a pretty straightforward, a classic bond RP basket ability that we've been building since day one. I haven't run the exact calculation, but I think that, that basket is probably, at the end of the year, within the low $50 millions and would probably build a little bit -- obviously will be building as we go through '11 as well.
Aaron Watts: Thanks. That's really helpful. And then, Bob, maybe one for you. Just curious, you mentioned all the distractions for viewers' eyeballs. Can you maybe talk to how the ratings on your news looks today versus maybe a year ago, two years ago, three years ago? Just how that's going to sell right now?
Robert Prather: You know, our news ratings pretty much follow national trends. Morning news continues to go up, the early morning news. And we're looking to put on more 4:30 in the morning kind of stuff. The 5:00, 6:00 news have been pretty steady. 11:00 news in a lot of places has been great as we're going down hours a little bit. And I think as we talked about the past, as you know, I pretty exercised by the NBC stunt with Leno. That really hurt. We've got 10 big NBC stations with us and that 10:00 lead-in, it hurt some of our 11:00 news around the country, and they've recovered from it, I think. But 11:00 still seems to be a problem. I think part of the fact is, as you well know, talking about the eyeballs with all the distractions, people get news now 24/7, and they don't really need that 11:00 as much as they used to. I think you'll find out most people still like the 11:00 to get the weather for the next morning and maybe the late sports, but it's just not as critical to people. I think the early-morning news is becoming more and more important and will continue to become more important in the years ahead. And I think one of the things we're really emphasizing in all our news research right now is what's going on with early news and what can we do to make sure we're staying on top of the trends of what people want and what viewers want in the early morning. But overall, our ratings have held up real good, and all our number one stations are still number one, and that's our mantra. If you're number one, you want to stay number one. If you're number two, you want to be number one. And we want that to be on our managers' minds every day when they wake up.
James Ryan: And real quick to follow up, that NOL carry-forward number is $272 million, just for the record.
Operator: [Operator Instructions] We did have another question come in from Jim Beyloune from Oppenheimer.
Charles Abry: It's actually Charlie Abry. Jim Beyloune's here with me. But you paid off, I think it was about $50 million in debt last year out of free cash flow. Is it fair to assume that your ultimate intention is sort of do the same thing in 2011 if you have the same free cash flow?
Robert Prather: Well, we won't have the same free cash flow, unfortunately, because of political. But we will try to use every penny that we can to pay down as much as we can in '11, and we're looking forward I think  to '12, being even a bigger record year from a political, and we hope to pay down $50 million plus in '12. But don't worry, we're focused on our debt. We look at it every day. We want to make sure we're trying to pay down as much as we can as quick as we can, and it's our number one focus other than making sure our stations continue to be the news leaders in their markets. Those are two things that we emphasize on a daily basis to all our management.
Charles Abry: And I think I asked this the last quarter as well. It seems like you're getting some pretty good cash out of managing the young properties. I know that doesn't come up for a while, but if it proceeds thru the bankruptcy courts, is there still an intention to be sort of opportunistic as they fit into your portfolio? And then assuming that's the case, how would you finance that?
Robert Prather: Good question. First of all, they're out of bankruptcy. They're now owned by the bank, group of bankers that own the bank debt. We've got two more years to go on our management contract. We're in there involved in working with the stations now on a daily basis. I think the key for us would be is there a way to, if it make sense, if the bank group decides to sell those assets in a couple of years, can we finance them without increasing our leverage. I think that would be the key for us. So we want to leverage down, and that's our number one goal. So I think if there was a way to acquire those stations at a reasonable price and make sure we did not increase our leverage, I think it's something we'd be very interested in. But it's not on the front burner right now. We're very involved in working with the stations, and we want to continue to do that. And if the ownership group decides to go a different route in sales in 2012, we'll take a hard look at that point.
Charles Abry: Well, I assume the banks still want to be in the broadcast business. Is it fair to assume that you'll probably have a first look at something...
Robert Prather: Charlie, we don't have anything in writing. Obviously, we will know a lot about the company at that point and we would be the logical person to look at it. But I'm sure they will go through a normal sales process if they decide to do that. And they have told us from the beginning they're not long-term holders. So I think when and where they decide to sell, I think, probably depends on market conditions. And there's been no real transactions in this space now for over two years of any significance. So I think it's going to take some kind of deal getting done to kind of set a benchmark for what multiples really are, what people are willing to pay out there and who's actually interested in the television business. One thing, we and most of our competitors in the public market have all been working on our balance sheets, trying to get them in better shape, refinance our debt when we could. And I don't think any of us want to jump back in and over-leverage like most of us were going into the recession. I think we all learned a good lesson, and it's like the Texas Bank. There's very few Texas Banks got in trouble this time around because they got burned so bad back in the '70s during the oil crunch. So we learned our lesson, and we want to make sure we're very prudent in any kind of acquisitions we'd do in the future.
Operator: We'll go next to Michael McCaffrey from Shenkman Capital.
Michael McCaffrey: I wondered if you could provide any commentary if you're seeing any big push in union money in your Wisconsin stations?
Robert Prather: Well, the good news is we've gotten over $500,000 in the last ten days in our three Wisconsin stations in advertising money from the unions mostly, so we're sitting on the sidelines saying keep advertising. I don't know what's going to happen there, but we've been very fortunate to bring in some pretty good dollars in that area just in the last ten days. And I guess the longer that goes on, probably both the sides will be spending money, both the unions and the anti-union groups that are out there, those kind of things. It may be pushing it, but it's been real nice for us so far.
Michael McCaffrey: And are you seeing any other pull-through in some of the other markets where the expectation is that some similar flow  [indiscernible] start to happen?
Robert Prather: Yes, we have a lot of states where we've got -- Indiana, we've got stations in South Bend and in Ohio...
Michael McCaffrey: And Michigan, I was thinking.
Robert Prather: But which one?
Michael McCaffrey: Michigan.
Robert Prather: Michigan, we're enhancing there. Very significant at this point, although those things, usually you don't really see the dollars those things really eat up. So obviously, Madison is white hot right now. Probably what happens in Madison may determine what goes on with other states, too. So I think they're probably all waiting to see what actually happens there before they really turn up the heat in these other places. But it's an interesting -- going on all the -- virtually, every state in the union's got a deficit. They're all looking for ways to trim that deficit, and they all had federal money from a year ago and now that's gone. The state of Georgia, for example, has got a $2 billion deficit, and we've always had a very conservative run state government, but they're looking for ways anywhere they can to cut expenses and even in some cases raise taxes, but in different ways. But I think you're going to continue to see a major pressure all over the country to figure out ways, and obviously, these public unions and the public pensions are a huge expense for virtually all these states.
Operator: And we have a  follow-up from Bishop Cheen. [Wells Fargo]
Bishop Cheen: Robert, you've been very clear and consistent what your priorities are. So my question is on M&A, and I'm not insinuating that you're about to pull the trigger or anything. But speaking of M&A, is the buying pool -- do you think the buying pool is still as thin as it was? And secondly, because I have a feeling I know what the selling pool is, but tell me about your perception with the gap on dividend?
Robert Prather: Bishop, that's a great question. I think it's something I've thought about a lot. I really think the freedom deal's out in the market right now, I guess that's the one I know of that's any significance. And I really, really think the key is what happens there determines -- I don't know. That company's both newspapers and TV, whether they get sold as one entity or whether they get split up. But until there's some kind of benchmark set on multiples of a significant acquisition, I think the private equity guys and, like I said, the groups that are out there are all kind of on the sidelines saying let's see what happens. If those things sell at 10x, 11x cash flow, I think everybody will be cheering and you'll probably see more sellers and buyers both pop up. If it goes in a much more lower multiple, you may see people still sitting on the sideline. I have not seen private equity really ready to jump back in these deals. They've had a pretty good sale of deals through Citadel and Clear Channel and some of these things have really been -- Univision, I guess, has bounced back some, but they've all had some major, major restructuring on debt in most of these deals. Not to mention the guys like Young  [ph] and others that filed Chapter 11 during the crunch. So I think until there's a deal done and you get a benchmark for multiples, I don't think you know what the buying group or the selling group is right now.
Operator: And we have another follow-up from Aaron Watts.
Aaron Watts: I saw your guidance for expenses for 2011, and I'm just curious kind of baked into that number how your programming costs are looking maybe in 2011. And then also just your view on what direction those costs are heading going forward.
Robert Prather: Our goal every year is to try and keep our expenses flat from the previous year, except in the political years when we have $3 million plus of commissions on the political, international, from our rep firms. I think with our continued emphasis on automation and more efficient ways to run the station, we want to keep our expenses as flat as we can. I think our expenses right now are running below what they were in 2006, for example, and we want to make sure that we stay on top. One thing that we normally -- first quarter usually looks a little up simply because we have a fair number of raises that go in the first quarter, but evens out as the year goes on. We watch these things pretty close. We're proud of the fact that we've done a great job of controlling expenses, and we try to do it in the right way. We've never had vast layouts. When we do automation deals, we do state bonuses, and we try to have a very good severance plan for people that we -- and we work to figure out other jobs for them to do if possible. So we've been -- like I said, we've been very fortunate to do this over a period of time where we've dealt with as little disruption as we can for the people and yet doing the right things to make sure we operate these stations as efficiently as possible.
James Ryan: Your question about the program cost itself, as we've said, with Oprah going away, that saves nearly $4 million on an annualized basis. So with roughly -- our program cost this year was about $15.5 million. Next year, in '11, it's probably in the $14.5 million range. And if you thought out to '12, then you get a full year's worth of Oprah impact in '12. The '12 should be definitely under the rate of '11 on a program line.
Operator: It appears there are no further questions. I'd like to turn the conference back over to our speakers for any additional or closing remarks.
Robert Prather: Thank you, operator. I want to thank everybody. As I said, we're very proud of the year we had and the quarter. We look forward to 2011 not being as good a year, but being better than most people thought. So we want to thank everybody for your support. We look forward to hearing from many others. As you know, we answer our own phones, so don't hesitate to call anytime. And we'll see you on the first quarter report later this year. So thanks, everybody. Thanks, operator.
Operator: You're welcome sir. And again, that concludes today's presentation. Thank you for your participation.